Erica Mannion: Good morning. Thank you for joining us to discuss SemiLEDs' financial and operating results for the fiscal third quarter of 2013. With me today are Trung Doan, Chairman, President, and CEO; Timothy Lin, Interim Chief Financial Officer; and Ilkan Cokgor, Executive Vice President of Sales and Marketing. Today, Trung will begin with a brief overview of industry dynamics and details of the third quarter. Tim will review Q3 financial results, and then all three gentlemen will be available for questions. Today, on the call, you may hear forward-looking statements about events and circumstances that have not yet occurred. Actual outcomes and results may differ materially from the expectations contained in these statements, due to a number of risks and uncertainties. Please refer to the Company's recent SEC filings at the SEC's website at www.sec.gov for detailed discussions of the relevant risks and uncertainties. The Company undertakes no responsibility to update the information in this conference call under any circumstance. The press release distributed today that announced the Company's results is available on the Company's website at www.semileds.com in the Investors Section under Financial Press Releases. The current report on Form 8-K, furnished with respect to our press release, is available on the Company's website in the Investors section under SEC filings and on the SEC's website. You will also hear discussions of non-GAAP financial measures. Reconciliation of these non-GAAP measures to the most comparable GAAP financial measures are contained in the press release distributed today and available on the Company's website. Now, I will turn the call over to Trung Doan, Chairman, President, and CEO. Trung, please go ahead.
Trung Doan: Good morning, and thank you for joining our call today to discuss our first – our finance – fiscal third-quarter results as you saw in the press release we distributed early this morning. Our revenue came in at $3.5 million, which failed to meet our expectations. I would like to take some time to explain what happened during the quarter. In March, we saw substantial amount on our remaining legacy chip, finished goods inventory at a (inaudible) resulting in the cannibalization of our chip sales in April and May. Many of our Eastern European customers were also affected by the Cyprus banking crisis and pushed out their orders, and we expected our new blue EV products will be qualified by major customers resulting in additional sales revenue. However, this did not happen in Q3. While we are disappointed with our Q3 results, we believe this is a temporary setback. We have already made progress addressing these issues. In June, we saw the return of orders for our regular and new chip and component customer, including our Eastern European customers, and we continue to work with our major customers to qualify our EV products and expect to see meaningful revenue contribution in our November quarter. Furthermore, we have upgraded our China distribution channel by adding several new sales agents and have secured some new customers in components. In June, we also announced, two new product families; the 10-watt, high-power N9 series and the 0.17 watts to 0.50 watts mid-power P50N series. Both product families take advantage of our unique, patented vertical LED structure that delivers superior performance directional industrial applications such as printing, coating, and curing and basic specialty applications including signage and medical or cosmetic use. The pricing of [raw material] (ph) is stable, and we are ramping out EV products. Although, (inaudible) remains the same, we are focused on EV components and modules in the camera flash market, where we are earning the higher margins on our chips. In summary, unfortunately, we encountered a stream of events in a single quarter. As a result, our fiscal third quarter was significantly impacted. However, we believe EV is where the (inaudible), we remain optimistic and focused on the opportunities ahead. Before I turn the call over to Tim, who will walk through – walk you through the details of financial results, I would like to mention that Ilkan Cokgor, our Executive Vice President of Sales and Marketing is with us today and available to address questions you all may have on the call. Now, I will turn the call over to Tim.
Timothy Lin : Thank you, Trung, and thanks everyone for joining us today. As a reminder, I am referring to our fiscal quarter as I walk through the financials. For the third quarter of 2013, revenue was $3.5 million. This is approximately a 27% sequential decrease from the second quarter of 2013. The sequential decrease in total revenue was primarily due to the reasons Trung mentioned earlier. Revenues attributable to the sales of our LED chips decreased by 43% sequentially and represented approximately 28% of our total revenues in the quarter. Revenues attributable to the sales of our LED components decreased by 17% sequentially and represented approximately 43% of our revenues in the quarter. Revenues from our lighting products decreased by 11% sequentially and represented approximately 25% of our revenues in the quarter. GAAP net loss attributable to SemiLEDs' stockholders was $11 million for the quarter compared to a loss of $6 million in the previous quarter. GAAP diluted net loss per share was $0.40. On a non-GAAP basis, net loss attributable to SemiLEDs' stockholders was $6.6 million compared to a loss of $5.4 million in the previous quarter. Non-GAAP diluted net loss per share for the third quarter of 2013 was $0.24. Non-GAAP net loss for the third quarter of 2013 excludes stock-based compensation expense of $520,000 and impairment charges of $3.8 million net of related taxes. Coming in ahead of our expectations, SG&A expenses were $2.2 million, which represents a $449,000 sequential decrease due to lower legal service expense and a decrease in bad debt expense. Next quarter, we expect SG&A to be approximately $2.3 million. R&D expenses were $1.1 million, and approximately $110,000 increase compared with Q2 2013. Gross margin for the third quarter was negative 129%, which compares to negative 69% in the previous quarter. Moving to the balance sheet, as of May 31, 2013, working capital was $43.9 million. Cash and cash equivalents were $41.4 million compared to cash and cash equivalents of $43.9 million in Q2 2013, Days sales outstanding were 66 days as compared to 64 days for the prior quarter. Inventory days on hand were 106 days, down six days compared to 112 days at the end of the prior quarter as we continued to manage our inventory. Cash used in operations during the third quarter was $2.3 million compared to $4.2 million in the previous quarter. We spent approximately $590,000 on capital expenditures in Q3. This resulted in free cash flow of negative $2.9 million. We define free cash flow as cash provided by operations less capital expenditures. Now, I will provide guidance for our fiscal fourth quarter. We expect revenues to be in the range of $3.5 million to $4 million and GAAP gross margin to continue to be negative for the quarter as we will not fully utilize our production capacity. GAAP net loss attributable to SemiLEDs' stockholders for Q4 is expected to be $7.6 million to $7.9 million. GAAP EPS is expected to be negative $0.27 to $0.28 per diluted share. The diluted shares outstanding count is estimated at 27.8 million. This concludes our formal comments. I will now ask the operator to please open up the line for questions. Operator?
Operator: Thank you, Sir. (Operator Instructions). We'll pause for just a moment. We'll take your first question from Ben Pang from B. Riley and Company.
Ben Pang – B. Riley and Company: Hi. Yes. First, what’s the typical percentage of revenues from Eastern Europe?
Trung Doan : Tim?
Timothy Lin: Yes. Approximately 9%.
Ben Pang – B. Riley and Company : So, that was – that's the typical...?
Timothy Lin : It's not typical.
Ben Pang – B. Riley and Company : -- Than it was from the current quarter?
Trung Doan : This current quarter. Okay. We don't have that. We can’t just (inaudible).
Timothy Lin: Yes. We don't break that down into that kind of information.
Trung Doan : Ben, this Trung. Yes. We don't have a typical (inaudible) in the last quarter – in this quarter, but last quarter it was around about 9%.
Ben Pang – B. Riley and Company : Okay. Could you go over the – so, the revenue shortfall is due to the Eastern Europe issue, and what was the other – what were the other factors?
Ilkan Cokgor: Yes. This is Ilkan. One of the other factors was the sale of obsolete chip inventory that we had and the negative effect -- that the temporary effect that this created. And the third affectwas due to us not being able to qualify at a customer last quarter that we expected to qualify.
Trung Doan : So, Ben, let me give you a little bit color on that one is that in the last quarter, in March, we saw substantially (inaudible) legacy chip; pretty good inventory at a steep discount. So, resulting in May, in April, we had cannibalization of our chipsets, Okay? Is that – you hear it clear, Ben?
Ben Pang – B. Riley and Company : So, you sold your – you sold some – you sold the obsolete chipsets and those customers didn't buy your new chipsets?
Trung Doan : No, it's not obsolete chip. I'm saying absolute. I would like to correct is a legacy chip, that is the [SL chip] (ph) essentially that we want to – that we now converted to EV chip, so we officially sold all the legacy part.
Ben Pang – B. Riley and Company : So, I guess my question is which part was – I have a surprise to you meaning, obviously I am still assuming that you planned to sell the legacy chipsets anyway, right?
Trung Doan : We sell...
Ben Pang – B. Riley and Company: Pricing was so low or you were surprised that customer didn't come back in to buy your new chipset?
Trung Doan : This is what happened. In March, we sold the chip in very steap discount to the market. And then in April, we don't really know about that we wouldn't know until May, we said, "Why don't we have customer go and buy our existing EV part? And even – and we did not see it." In May, again, we didn't see very much at all of the sales of order coming for that. By the way, June, which I see that come back. So...
Ben Pang – B. Riley and Company : Okay.
Trung Doan : So, these are very interesting mechanisms of the sales, some legacy part discount, the steep discount, causing an issue with current EV chipsets, because that's what – that is what actually got affectedeffectivee.
Ben Pang – B. Riley and Company : Okay. And moving on to couple of other topics on the camera flash, can you comment on where – what is the qualification status? What are your expectations for the revenues for the rest of the fiscal year, the camera flash?
Trung Doan : So, we will expect the cam – yes, we expected the camera flash to be qualified in May. In fact, seeing order in May, but we did not pass qualification test of one of the major customer. So, what happened was, now, we're still sending parts at least to qualify it, but qualification takes about three months to six months, so we think if everything goes correctly, we should have a contribution status in the November quarter as we set.
Ben Pang – B. Riley and Company : Okay. The – you mentioned that you missed one qualification. I mean is there a risk that that occurs again? Is that a technical problem? Or...
Trung Doan : Well, it depends on the flash’s multiple tests – different tests. We failed one of the tests. And what happens, you know, we just have to retest and re-qualify for that test.
Ben Pang – B. Riley and Company : Okay.
Trung Doan : And we have three major customers in that we have, one of them, pretty fast, okay, but we did not get a lot of sales from that customer at all. There are two major ones, that we really want to pass, and we – unfortunately, our device failed one of the tests.
Ben Pang – B. Riley and Company : Is there a risk that the competitor gets that application then?
Trung Doan : Well, there's always a risk.
Ben Pang – B. Riley and Company : Okay. And then, the final question for me, can you give a few more detail on impairment charge?
Trung Doan : Okay. The impairment charges are – Tim, you can please come in.
Timothy Lin : Yes, hi. The impairment charges consisted of two parts. One for one of our long-term investments and the second part is one of – for our subsidiary for goodwill and their successes.
Ben Pang – B. Riley and Company : Okay. Thank you very much.
Trung Doan : Thank you, Ben.
Operator: At this time, I would like to give a final reminder to our audience (Operator Instructions). And with no questions in the queue, I would like to thank everyone for joining today's SemiLEDs conference. This does conclude our presentation, you may now disconnect.